Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Dundee Precious Metals' Third Quarter 2020 Earnings Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to the first speaker today, Jennifer Cameron, Director, Investor Relations. Thank you. Please go ahead.
Jennifer Cameron: Thank you and good morning. I'm Jennifer Cameron, Director, Investor Relations, and I'd like to welcome you to Dundee Precious Metals' third quarter conference call. With me today are David Rae, President and CEO; and Hume Kyle, Chief Financial Officer. After the close of business yesterday, we released our third quarter results, and we hope you have had an opportunity to review our material. All forward-looking information provided during this call is subject to the forward-looking qualification, which is detailed in our news release and incorporated in full for purposes of today's call. Certain financial measures referred to during this call are not measures recognized under IFRS and are referred to as non-GAAP measures. These measures have no standardized meanings under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management's reasonable judgment and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that unless otherwise stated, operational and financial information communicated during this call have generally been rounded, and any references to 2019 pertain to the comparable periods in 2020. I'll now turn the call over to David Rae.
David Rae: Thanks, Jennifer. Good morning and thank you all for joining us today. As you would have seen from our earnings release last night, I am pleased to report that DPM delivered another exceptional quarter, with strong gold production and cost performance driving record financial results. Highlights of our third quarter results include: strong operating performance at our Chelopech and Ada Tepe mines, which resulted in production of 80,000 ounces of gold and 9.2 million pounds of copper, with solid smelter performance despite 15 days of schedule maintenance and an excellent cost performance resulting in an all-in sustaining cost for the quarter of $640 per gold ounce. Our strong operational performance combined with higher gold prices generated record net earnings, adjusted EBITDA and $59 million of free cash flow for the quarter. It’s important to highlight as Hume will also note that our record free cash flow was after delivery on our prepaid gold facility of approximately 7,000 ounces in the quarter. With the strength of our results year-to-date, I'm pleased to say that we are tracking towards the upper end of our annual guidance for gold production and have reduced our all-in sustaining cost guidance. Goes without saying that this has been a challenging year around the world as a result of the COVID-19 epidemic, to date, we've not experienced any material disruptions to our operations, and we continue to manage the situation by prioritizing the health and safety of our workforce and host communities. Our strong year-to-date performance amidst challenging circumstances is a credit to the outstanding efforts undertaken at each of our sites to effectively manage these challenges. Turning to the highlights from our operations for the third quarter, I'll start with Ada Tepe. Since ramping up to full production last year, our operating team at Ada Tepe has continued to deliver impressive results beyond what was shown in the feasibility study, and ahead of our expectations and that's a rare accomplishment in our industry. In Q3, Ada Tepe produced approximately 30,000 gold ounces, which exceeded planned levels, as a result primarily of strong gold grades, but also a higher volume of ore treated. With cash costs at $34 per ton of ore processed during the quarter, cost performance is also better than anticipated for reasons, which Hume will discuss shortly. Ada Tepe continues to be on track to meet its 2020 guidance, with gold production tracking toward the higher end of the range. In October, we released an updated mineral reserve and resource for Ada Tepe, which incorporated other 91,000 meters of close spaced grade control drilling and detailed reconciliation studies that we conducted since the start-up of the operations. The results with a proven and probable mineral estimate of approximately 660,000 ounces of gold at an increased rate of 4.8 grams per ton, as well as an optimized life of mine plan for Ada Tepe. The optimize mine plan reflects a higher grade and recovered gold ounce profile relative to the original mine plan. It supports our three-year outlook for the operation and maintains production to 2026 and highlights Ada Tepe's potential to drive strong operating results within our portfolio. We'll look forward to publishing an updated 10-Q report for Ada Tepe later this month. We're continuing with our exploration efforts around that Ada Tepe with approximately 8,000 meters planned act Surnak, and two other satellite deposits in the fourth quarter in addition to the 8,000 meters already completed for this year. Additional exploration activities this year have focused on target delineation and resource definition drilling of the turnable things on the Chiirite license, which is located approximately 25 kilometers Northeast of Ada Tepe, will be completed 6,000 meters this year. As we look out to next year, we plan to drill approximately 32,000 meters at Ada Tepe with a focus on delineation of additional resources within the mine license and on advancing other prospective targets on a regional license. Turning to Chelopech. Chelopech continued its track record of consistent performance producing approximately 50,000 ounces of gold and 9.2 million pounds of copper. Gold production was higher than expected due to higher recoveries in pyrite concentrate and copper production was as expected.  Cast cost continues to be very steady and in line with our expectations, with cash costs of $38 per ton of ore processed for the quarter. Overall, given its strong performance year-to-date, Chelopech is expected to be at the upper end of its guidance range on gold production for 2020 and is on track to meet guidance for all of the metrics. In terms of exploration, we continue to focus on extending the mine life through our in-mine and brownfield exploration programs and have 8,000 meters of drilling planned for the fourth quarter. In the third quarter, we commenced an intensive diamond drilling program at the West Shaft prospect. This is the new target located approximately one kilometer southwest of the Chelopech mine. It was identified in June as part of a in-mine drilling program. Additionally, deep directional drilling is continuing at the Wedge prospect just north of our resource, with a focus on testing more conceptual targets in proximity to the Chelopech mine. Turning to Tsumeb. Tsumeb delivered strong performance during the quarter processing approximately 56,000 tons of concentrate at a cash cost of $407 per ton. There were 15 days of scheduled maintenance during the quarter, which was primarily related to the replacement of certain equipment in the off gas system. This was effectively to one week shutdowns, which we brought together in the third quarter. And we'd done that for various reasons. One of which the sensible handling of COVID constraints in terms of resources that we can bring to the site. There's no additional significant maintenance planned prior to the Ausmelt furnace reline, which is currently scheduled to occur in the first quarter of 2021. In 2020, Tsumeb is recognizing its 10th anniversary as DPM operation. And since we acquired the smelter in 2010, we've made substantial investments to significantly improve the health, safety and environmental performance and standards. We we're proudly seeing the benefit of that investment in terms of enhanced operational and environmental performance, as well as improved social and political license. So, then, I'm happy to say that we're starting to realize some of the long-term targets for safety and operational performance that we had in mine for the smelter when we first acquired it. And in fact, we expect 2020 to be a record year for Tsumeb, both operationally and financially with a smelter on track to meet its guidance. In terms of future growth, our Timok project in Serbia continues to advance. Earlier this year, we initiated a pre-feasibility study following encouraging results from optimization work completed last year to incorporate -- to corporate the sulfide portion of the mineral resource. As the PFS has progressed, we've determined that the sulfide portion will benefit from additional variability test work. And as a result, the PFS will continue to focus on the oxide portion of the project with a sulfide portion to be included as part of the potential feasibility study. The PFS is progressing well and is on track for completion in Q4. And we anticipate sharing the results in the first quarter of 2021. We also continue to pursue our growth strategy by evaluating additional opportunities that have potential to generate strong returns and enhance value to the company. Closing, overall, DPM has never been in a better position to deliver value for our shareholders and other stakeholders. With a strong third quarter set of results, we've demonstrated our ability to deliver significant free cash flow and our commitment to deploying this capital in a disciplined manner. Earlier this year, we were pleased to announce an inaugural dividend of $0.02 per share, a quarterly level we believe to be sustainable based on our free cash flow outlook. And yesterday announced the fourth quarter dividend payable on January the 15, 2021 to shareholders of record as of December the 31, 2020. It's the demonstration of our commitment to delivering superior returns to shareholders and a disciplined approach to capital allocation, as well as our confidence that we will continue to deliver strong results in the coming years. Before I wrap up, I'd like to acknowledge all our dedicated employees across the company for their outstanding efforts to proactively respond to the challenges of the COVID-19 pandemic, while also maintaining the continuity of our operations. Our growing gold production profile and free cash flow generation combined with our unique skills and innovation and building strong partnerships with local communities position us as well to continue delivering value for our shareholders. I'll now turn the call over to Hume for a review of our financial results and comments on our 2020 guidance, following which we'll open the call to questions.
Hume Kyle: Thanks, Dave. Good morning, everybody. As Dave noted, continued strong operational performance from all of our operations and higher metal prices translated into strong financial results, including record net earnings and free cash flow. For the quarter, adjusted net earnings were 51 million or $0.28 per share, representing an increase of $0.26 compared to 2019 and adjusted EBITDA was $85 million, up $52 million compared to 2019. Adjusted net earnings for the first nine months of 2020 were $143 million or $0.79 per share, representing a $0.69 increase compared to the prior year. And adjusted EBITDA was $241 million, up $158 million compared to 2019. Reported net earnings in all periods were slightly higher reflecting mark-to-market gains related to Sabina special warrants that we hold. Relative to 2019, these results benefited from significantly higher volumes of gold sold, reflecting an impressive startup at Ada Tepe that generated higher production in grades than we'd originally envisioned and continued strong performance from our flagship Chelopech mine, as well as an increase in market gold prices of approximately 25% relative to 2019 levels and a weaker South African rand, which depreciated roughly 15% against the U.S. dollar. From a cash flow perspective, cash flow from operating activities in Q3 and year-to-date were $42 million and $127 million respectively compared with $23 million and $47 million in 2019 and reflected the same factors that drove increased earnings partially offset by an increase in working capital. This increase reflected longer settlement terms for our Ada Tepe sales, normal course timing issues with respect to a late shipment in the quarter, which resulted in approximately $25 million in cash proceeds being received just after the quarter, as well as increased deliveries and higher gold prices. Funds from operation, which is before changes in working capital were $70 million and $194 million in Q3. And year-to-date respectively compared to $32 million and $77 million in 2019. This solid performance translated into record free cash flow of $59 million and $167 million in Q3 and year-to-date compared to $21 million and $55 million in 2019. This includes the delivery of $7,000 and 27,000 ounces of gold in Q3 and year-to-date respectively in respect of our prepaid forward gold sales arrangement resulting in approximately $10 million and $37 million of deferred revenue being recognized in earnings, with no corresponding contribution to cash flow. In the fourth quarter, we will deliver the remaining 7,000 ounces to be delivered under this arrangement. Our all-in sustaining cost per ounce for the quarter and year-to-date was $640 and $655 respectively, down 14% and 13% from 2019 due primarily to lower cost production from Ada Tepe and higher byproduct credits partially offset by higher production -- sorry -- higher Chelopech treatment charges, higher G&A expenses and higher cash outflows in respect of sustaining capital expenditures. At Tsumeb, our Q3 and year-to-date cost per ton was $407 and $369, respectively, down 21% and 10% from 2019 due primarily to higher volumes of complex concentrates smelted as a result of steady or operating performance, which more than offset to Q2 impact associated with regional measures undertaken by the Namibian government to reduce the risks related to COVID-19, as well as a weaker ZAR and higher asset deliveries, partially offset by lower asset prices. From a capital expenditure standpoint, total capital expenditures in the quarter and year-to-date were $13 million and $35 million, respectively. Sustaining capital expenditures for the quarter and year-to-date were $12 million and $30 million, up $1 million and $11 million from 2019 levels, reflecting the investments we are making to extend the life of Chelopech tailings management facility, as well as the higher CapEx associated with the startup of Chelopech. Growth capital expenditures for the quarter and year-to-date were $1 million and $5 million, respectively, down $1 million and $30 million from 2019. Year-to-date decrease, of course, is due to the fact that we completed construction at the Ada Tepe mine. Following another quarter of strong free cash flow, we ended the quarter with available cash resources of approximately $252 million. This was comprised of the cash position of $102 million, together with $150 million under our revolving credit facility. We also have a liquid investment portfolio providing additional potential upside. This is comprised of the 9.4% interest in Sabina and at 19.4% interest in INV, which together are valued at approximately $76 million. We also have a 70% fully diluted interest in minor P which puts an aggregate value of these investments that well over $100. From a risk management perspective, all of our key financial metrics and underlying financial exposures are well within established tolerance levels. During the quarter, we increased our 2021 hedge positions. There were established to reduce Tsumeb operating cost exposure to foreign currency movements, such as -- such that for the balance of 2020 and for 2021, we are approximately 82% and 84% hedged, and we've used a zero cost caller to do so. Looking forward, we continue to focus on increasing the profitability of the business by optimizing our existing assets. And as Dave commented on earlier, we are on track to meet or outperform previously issued 2020 guidance. With strong operating performance from Ada Tepe and Chelopech in the first nine months, annual production and deliveries are expected to be at the upper end or 2020 guidance. As a result, we have reduced our all-in sustaining cost guidance to $650 to $720 per ounce of gold from the previously issued guidance of $700 to $780, reflecting excellent cost performance year-to-date. Mine cost at Chelopech are tracking our guidance and at Ada Tepe year-to-date costs were below the current guidance of $44 to $50, which was lowered from $50 to $60 in July. We expect Ada Tepe costs to come in at the lower end of guidance, with the potential to be slightly below this range as a result of strong operating performance and RC drilling costs, which are now being capitalized rather than expense that's originally envisioned. Tsumeb remains on track to achieve its 2020 production guidance and is expected to achieve the lower end of its 2020 guidance due primarily to the weakening of the South African rand relative to the U.S. dollar Year-to-date, we forecast capital expenditures are in line with guidance. Our longer term outlook covering 2021 and 2022, which can be found in three-year outlook section of our MD&A remains unchanged from what we issued in February, with the exception of Ada Tepe's 2021 outlook for sustaining capital expenditures, which are now expected to be between $15 million and $19 million, up from our previously issued guidance of $4 million to $5 million. This increase is due primarily to accelerating grade control drilling, which was previously planned over several years in order to provide larger representative and high quality samples for greater -- for better grade control and mine planning over the remaining life. The outlook for Ada Tepe's sustaining capital expenditures in 2022 remains unchanged at $4 million to $5 million. In closing, with continued significant free cash flow being generated from our business, a solid outlook for 2021 and 2022, the potential to generate significant additional free cash flow, we are in a strong financial position to optimize and grow the business, which we intend to do in a disciplined manner, consistent with our capital allocation framework and as such expect to continue to grow our cash position to support prudent investments and high return growth opportunities and return a portion of our free cash flow generation to our shareholders by way of a regular quarterly dividend, the most -- recent of which was announced yesterday With that, I'll turn the call back to the operator.
Operator: Thank you, sir. [Operator Instructions] I show our first question comes from the line of Dalton Baretto from Canaccord. Please go ahead.
Dalton Baretto: Thanks. Good morning David and team, and congratulations once again on a great quarter. Maybe I can start by asking you about the cost at Ada Tepe, why are they coming in so far below your guidance?
David Rae: Hume, did you want to pick that up?
Hume Kyle: Yeah. Well, I can start. One factor that is impacting the Ada Tepe cost per ton in the quarter is the RC drilling. The RC drilling that was originally in our budget was considered to be an operating cost. And now as a result of the treatment, which is now capital that probably in the quarter has an impact of something like $5 per tom, $4 to $5 per ton. So, it's affected the quarter more, but on a year basis, relative to the original guidance that we put out, it would have an impact of about $4 per tom. So that's one factor, both for the quarter and for the year. But beyond that, it's really good operating performance, higher production, better cost management, lower consumable costs, both in the case of lower diesel costs and power costs, both from a rate and a consumption standpoint. Dave, did you want to add anything?
David Rae: Yeah. Just to explain a little bit more on what we're talking about, the grade control drilling would typically be done for the year ahead of the current production. And with the asset being a fairly small and constrained, there was a significant risk of interference or alternatively the need when we're doing pushbacks to be reducing production. And what we recognized was that by getting the grade control done early, that would feed into a life of mine planning and allow us to mitigate that. Now, mitigation that we take today are going to put us in a better position. Not just one year from now, two and three years from now. So, therefore, we felt it was sensible to accelerate the grade control drilling. So, we've been talking about this for a year, but because instead of it just being the year ahead, in which case we would expense it, now we're talking multiple years ahead. We felt it sensible to move that into capital. So that's why we did that. So the impact is actually in the quarter is even more than the $5 as much as $10 per ton. But as Hume was saying, the direct material costs, the reagents grinding material better, it's actually all down to operating performance. The work that you do on the maintenance of the roads and the clarity in terms of direction of the fleet and minimization of the holes and rework that has a benefit on the impact of consumption of tires and fuel and all of these types of things.  So, it's a combination of a number of things. We've done well in terms of our negotiation on some contracts. We've benefited from lower power costs. We've benefited from lower reagent and steel costs, but we've also benefited from really, really good work done by this team on focusing on how to get optimization of the recovery of this asset, including grade control and not in terms of the drilling, but how they actually manage that at the site in terms of dilution and in terms of losses. And that's also benefited us with the grades that are going to the mill. So, it's a broad range of things. The big impact in Q3 was around the RC drilling or the grade control drilling, but it's also a number of others which have been consistent through the year so far.
Dalton Baretto: That's great color. And they really are doing a great job there. Can I switch gears and ask about Tsumeb for a second? So, it sounds like the sulfides are going to -- like, as you said benefit from additional work. Can you elaborate on what that additional barrier bodywork is and will you make a decision to go from PFS to feasibility study just on the merits of the oxide.
David Rae: Michael, did you want to talk to them?
Michael Dorfman: Sure. Hi, Dalton. Yeah, so that's correct. The sulfide is going to be subject of additional variability test work after the prefeas. And it's really just designed to optimize the flow sheet for the sulfides going forward and determine what the best processing methodology is going to be. And as you know, there's just a number of different zones within the ore body that require that additional variability test work to be done. To answer your second question, yes. The intention is that we would -- assuming a positive outcome on the prefeas, we would move ahead on the basis of the oxides alone and continue to study the sulfides as part of the feas. 
Dalton Baretto: Okay. Great. And maybe just one last one for me. This one's for you, David. So on capital and capital allocation, the base dividend is much appreciated, but it barely puts a dent in my numbers going forward. How are you thinking of the next couple of years about growth versus incremental shareholder returns? What is the process -- is that going to be reviewed quarterly? What's the preferred mechanism for any incremental shareholder returns? Would you prefer buybacks? Do you prefer supplementals? Just any thoughts around that would be great.
David Rae: Okay. I'll start with this and then I'll ask Hume to comment as well. It's a discussion that every board meeting, as we sort of have moved from a situation where we were running debt to now generating significant free cash flow. I'd like to see this process as something that is more routine in the sense of how we actually get about assessing what is the appropriate level of return. So, at this point, yes, we do have buyback opportunities at the share price. I don't think that's something that we would readily exercise. So, then, it's down to investment in improvements within the operations to generate returns. It's down to exploration, and it's just see we're being more aggressive on exploration. And it's down to dividends and it's down to what we might do in terms of growth. So, whether it's organic like teamwork or whether it's the potential for us to invest further and potential M&A activity in terms of supporting our future growth as we get five years and beyond as an organization. So, it's -- we recognize that what's happened is from the time that we started with the $0.02 dividend, the situation with the gold price and our performance means that we are paying at a lower yield than we had originally anticipated. So that's understood. And it is a point of conversation. It's happening on a regular basis. So, I would say it's been discussed quarterly, but I think the intent is to come into some type of routine so that there can be an expectation of when that's going to be. And I believe we're moving away from the concept of supplementary dividends to it being a more routine review of what that level is. So, that would be my comment. Hume, did you want to add anything further to that?
Hume Kyle: Sure. It's obviously a relevant topic that comes up quite a bit in our conversations and in the marketplace. And you can see in the marketplace that -- there's a mixture out there in terms of how people are approaching it. From our standpoint, we instituted the dividend, as Dave said, at a level that anticipated a lower pricing environment than the one that we're currently in. And certainly with current prices and should they prevail, it would provide the opportunity to increase that dividend further, no doubt. But we instituted it at a level we knew we were comfortable with. It's not just based on -- from a board perspective, it's not just based on what the current market environment is. It's really looking at what the expectations are over a longer period of time and being satisfied that any dividend that we institute or any increases thereof is something that we feel we can sustain. We did not want to be changing our dividend on a quarter-over-quarter basis. So, we're monitoring the market closely in terms of what's going on, but it's really something that I wouldn't expect that we would look at and make quarterly decisions around. I think that this is something that we would assess and take a longer term view and reassess -- probably generally speaking on an annual basis. So, recognizing that we instituted the dividend earlier this year, thinking about whether there's an opportunity -- what the timing would be around increasing that, we're probably looking at later their share early next year as being something that dividend level will be reassessed.
Dalton Baretto: Thanks, Dave. Thank you, guys and congratulations again.
David Rae: Thank you. 
Operator: Thank you. Our next question comes from the line of Trevor Turnbull from Scotiabank. Please go ahead.
Trevor Turnbull: Yeah. Hi, Dave and Hume. I had -- maybe a little bit of follow-on on Dalton's questions about the Ada Tepe costs. I just wondered maybe going forward, if you had plans with guidance to break down, say the all-in sustaining costs between the different operations. It seems like now you give a consolidated figure for the company, but perhaps it would be a little easier for us to track if it was broken out asset by asset.
David Rae: Yeah. I mean, it's something that we could do -- for sure, Trevor, we haven't done it to date, but it's something that we could consider doing on a go-forward basis. 
Trevor Turnbull: And I guess just kind of a small question with respect to that. So, you're always sustaining cost guidance. You make -- made a note that it does incorporate some allocation for say corporate G&A and I think it was like a reclamation type of or maybe it was ESG expenses. Can you give us a sense of kind of what proportion does get allocated into that number?
David Rae: The proportion would really follow revenue, that's the methodology. So, looking at the revenue generation of each of our businesses, so soon Ada Tepe and Chelopech that would dictate it. So, roughly speaking, I don't have it right off the tip of my tongue, but let's say two-thirds 70% of the G&A costs would be allocated to between Ada Tepe and Chelopech. 
Trevor Turnbull: Okay. So, I misunderstood. I was thinking only a portion of the G&A was being allocated down, but it's -- what you're saying is, it's just being allocated on a pro-rata basis based on revenue contribution. 
David Rae: That's correct. Just looking at the scale of each business, we view revenue as being a representative tool or measure to use for that allocation. And that's what we've been following for a year.
Trevor Turnbull: Yeah. No. That makes sense. And then one very last small housekeeping item. Do you still pay a dividend to your partner in Namibia, I think it's called gray horse. Is that an annual dividend that tends to get paid out in Q4? Is that something we need to think about? 
David Rae: We do pay them a dividend. A portion of it is annual. So, it's -- the minimum dividend, as you may recall for the first five years is 500 grand. So, it's not that much. 200 is paid out sort of at the beginning of each year, that's the sort of cover operating costs. The balance is paid out subject to them having investments to make. So, all of the -- between those two things, all of the dividend for 2020 has already been paid out. There won't be anything paid out in Q4.
Trevor Turnbull: Okay. That's all I had. Thanks guys.
David Rae: Thank you.
Operator: Thank you. Our next question comes from the line of Cosmos Chiu from CIBC. Please go ahead.
Cosmos Chiu: Hi. Thanks, David and Hume. Happy Friday the 13th, I guess. And great to see that you've improved on your cost guidance. Maybe my first question is on Ada Tepe here. Going back to the technical report that you put out earlier on in October, good to see that it confirms the three-year guidance. But with that said, the number of ounces stayed about the same. The mine life stayed about the same. And so I guess my question is, what's the potential here in terms of increasing the mine life, adding more years to it. David, as you mentioned, you've planned about 32,000 meters in terms of drilling, it sounds like that's part of it. But what's the potential here? Is it from the satellite deposits or is it an extension of the current Ada Tepe deposit itself? And if I look at my field notes from 2019, when I went to the site, I guess Ada Tepe, it looks like a lot of mineralization was into sedimentary package. A lot of it was also in the contact between a medical morphic package and a set of more mature [ph] package. Is that still the interpretation at this point in time?
David Rae: I don't think anything's changed in the interpretation, Cosmos. And in terms of where we see the opportunities coming, we do see that as satellite, primarily to the current asset, which is well understood and well drilled. So, we are putting more and more energy into those areas around that. It's heavy. What I would say is that if you look at exploration generally, we had a rethink and a reprioritization that started in May, June this year. And as a consequence of that, you would have noticed that we've actually flipped some of the prioritization of the targets at Chelopech. And we've increased the intensity of some of the drilling that's been going on in and around Chelopech. Ada Tepe, we've done some of that, but we still have to do the in-depth view. However, we've got some interesting things that are going on at Ada Tepe at the moment, as you'll notice in some of the recent disclosure of results. And I do anticipate that as we find opportunities, we'll be aggressively drilling in order to do what we can to make sure that there is no drop in production from the end of life of mine at Ada Tepe. So, you'll know I've been cautious on this one, I've been asked in some of the analyst meetings, right? I think with what I see, I'm getting more competence now that we're going to be able to do some things that may be internally and there's some potential for external opportunities as well. So, I think it's a watch this space. To your point, it's going to be probably likely looking at that 25 to 40 kilometers away from the current asset where that source is going to be, but we'll do everything that we can to unearth any other opportunities in proximity to Ada Tepe.
Cosmos Chiu: For sure. Maybe -- as you talked about a lot of exploration results coming out of Chelopech and as you mentioned, there's quite a few zones that you're targeting at this point in time. David, could you remind us if -- some of these or these new zones here, are they -- can they be accessed using the current infrastructure? How far is it once again, I'm trying to picture it a long section here, but I tend to forget.
David Rae: Furthest one away at the moment is just on a kilometer. So, 800 meters to a kilometer away and that's West Shaft. The flip that we made in prioritization, typically we've been working in the sort of Northeast area and Southeast area relative to the mine. And that's where typically things are a little shallower and we've tended to ignore things that are more Southwest and West Shaft was noted in the MD&A that had been something that we'd identified an opportunity in the last couple of years, but actually this dates back quite a while where we had a magnetic anomaly that we found there all the way back in about 2003 to 2005. So, what we did is we -- when we reprioritize, we took into account a lot of different information that we had and decided that we should be looking a little deeper and relative Southwest. So, at the moment where we're looking is Southwest that's West Shaft, and we're looking at Wedge, which has been ongoing for a little while now and that continues to be interesting. And that's just north of the Chelopech mine, maybe a little Northwest. And we're also anticipating that we'll be doing some work in Basel [ph], which is just north of Wedge. So, those are the primary areas where we're focusing at the moment and there continues to be some ongoing work around Krasta as well. But effectively what we're doing at the moment is we're in the Sveta Petka exploration license, which is immediately around the Chelopech concession. I don't know if that's helpful. If you want me to get some clarification on that, Cosmos? 
Cosmos Chiu: Yeah. I think that's good. And in terms of, David, you just put out your updated reserves for Ada Tepe. What -- can you remind us in terms of timing of the reserve update for the other operations say Chelopech? And have you made a determination in terms of what commodity price assumption you're going to use? Are you going about -- use about the same as you had for Other of Ada Tepe?
David Rae: Absolutely. That's a very hot topic. We basically -- the Chelopech, we have a process whereby September each year we cut off exploration information at that point. But this time of the year, what we do is we define those assumptions and finalize those assumptions. The purposes of the resource to reserve conversion. That work really takes pace with the reserves in January and what it does, it puts us into a position to report in March, usually just towards the time where we're putting out the AIF. So, it's in the last week of March. With our assets, what we typically do is we only report every second year, even though we do a full MRR update each year. And the reason why we would do it more frequently would be if we see a variation of the order of -- or just above 10%. So, we're at -- because we reported in -- earlier this year for Chelopech, we not anticipating that we're going to be reporting next year. If we did, that would likely be because there's positive news and we're training towards being above 10% variance. So, basically Ada Tepe and Chelopech, what we've done is we've stepped them out of sequence. They will both originally planned for an update at that time of year. And we've actually separated them for purposes of smoothing out our resources who were applied to this. So, we can actually put them into other things like more broad advice into our exploration activities. So, I don't know if that's helpful. 
Cosmos Chiu: Yeah. Thanks David. And then maybe one last question here. Taking a step back, more broader based, I'm not as close to it. But I just want some kind of understanding in terms of the COVID-19 response in Bulgaria, it looks like it's done fairly well so far, and that's shown in your production guidance, that's unaffected. But how is it impacting Bulgaria as a country and more on a macro or micro basis house, how is it impacting Dundee Precious Metals, if at all?
David Rae: Yeah. So, two primary operating jurisdictions are in quite different cycles. So, Namibia, if you go back two months ago, was facing a lot of pressure, primarily from the coastal area and the area around the capital. And we were seeing influence of COVID in and around Tsumeb. And so, I know that was not your primary question. You were thinking towards Bulgaria. But what's happened now in Namibia is that it is now the middle of summer, or it's getting into summer, it's hot, everybody's outside. And what they're seeing is a dramatic decrease in the incidents of COVID. So, the pressure's coming off. But not quite the opposite in Europe, as you've seen from France and Germany and England too have been continuing to have significant struggles. Alike to that in Bulgaria, there's been a big increase in incidents. So, while we were at the low point, perhaps a hundred per day, you're now talking about 3,000, 4,000, determinations. So, it's very significantly different. Now, the ultimate consequences of this in terms of those who are most effected that hasn't risen to the same degree, but regardless there's been a significant increase in pressure in terms of COVID cases around our assets. What we've done is we've maintained and actually spent and our stance on COVID all the way through this. So, were other people like that off and opened up a little bit, we didn't. So -- and I think that's really put us in good stead. So, we have had a number of cases largely work. People are related to medical workers, or they've been in contact with people in communities they've been identified as contact trace outside of the workplace. And what we do immediately when that happens is we have people sort of stay-at-home. They've got to have them at least two negative tests and a period of time before we allow them to come back to work. So that has been increasing pressure is a concern at the moment broadly to a Europe. Bulgaria is as effective as anywhere else. But in terms of our operation, Iliya and team have just been doing an absolutely fantastic job of controlling this spot being proactive, making sure that we support our people. So, they're making the right decisions because there's a lot of pressure in the communities to relax standards, go out and don't wear masks, forget about the hand washing what's that all about? So, maintaining that level of diligence among the workforce, I think, has been one of the real things that our team has done extremely well on.
Cosmos Chiu: Thanks, David. Congrats again on a very strong Q3 and stay safe.
David Rae: Thank you.
Operator: Thank you. Our next question comes from the line of Don DeMarco from National Bank Financial. Please go ahead.
Don DeMarco: Hi, David and team. Thanks for taking my question. First off, I wanted to just go back to exploration at Ada Tepe. The Chatal Kaya prospect it's -- some pretty good drill results last night from your Phase 2 program, show some decent grades. I know it's still early. Can you tell us a little bit more about this? Is it an open pittable prospect? Is it near road infrastructure? Maybe a little bit about the strike, if you have any information on that? And what do you need from next year's program to confirm that as a potential satellite supplement?
David Rae: Yeah. All good questions. I thought the thing that I think would better benefit from having a detailed conversation with our exploration people. What I would say is that, we continue to be excited by a number of things that are going on around other Ada Tepe or our [indiscernible] prospect. I think that's increased recently. We were a little concerned about our ability to continue the mine, but I think that's starting to change with some of the opportunities that we're finding With Chatal Kaya itself, obviously that's encouraging, but we've seen these kinds of things before. Like with 153 when we first looked at it, it looked exceptionally, it became a great asset, but not the type of thing that it did first look like. So, we're a little cautious until we get more holes into these things. In terms of road infrastructure, it does look like there's -- I'm not -- I've not actually been there actually, but I do believe there's a close proximity to production. I believe it's about 25 kilometers away from our site. So, we have been looking at these things to make sure that if we do find them and I'm assuming it's an open pit, that's certainly the assumption so far that we will be able to extract that economically, including the road transportation and the treatment at Ada Tepe. I think the encouraging thing here with -- some of the encouraging thing was the grades, as opposed to necessarily finding something that was a little different. So, anyway, I think it will be my need to do the -- Don, as if you have any particular questions, what we'll do is we'll make sure we take those up with our next meetings and have a little bit more content on exploration and the detail around that area.
Don DeMarco: Okay. Thank you for that. And my second question is, do you have any guidance for the remaining sustaining CapEx at Tsumeb for Q4? I think year-to-date maybe $3 million has been spent. I think the guidance is somewhere closer to $12 million to $15 million, if I have my numbers right?
David Rae: Hume, did you have a comment for that?
Hume Kyle: Yeah. I mean, the balance of sustaining CapEx for Tsumeb will be higher than it was during the first three quarters. But it's not expected to be probably as high as you might expect based on the full year guidance. So, I anticipate, we'll probably come in a little bit lower in the range for the guidance for Tsumeb, but still within the range.
Don DeMarco: Okay. I think it’s perfect.
David Rae: It's fair to say that with COVID what that's affected is the ability to get people to sites. So some of the things that are maybe installed, but not fully commissioned yet are affected by the ability to get the right people to site. And also if you have a look at the timing of the shutdowns, that's important because you need to bring materials in and out though those that site ready for the shutdown. So, of course, we've had a short shutdown, so that spend is already incurred. Now, we've got the big shutdown coming up and the preparation is happening now. So refractory linings in place, any adopting that we need to do any of the equipment modifications. So, there's reason to believe that the loading will be more towards the backend of the year. However, I think it's also recognized Tsumeb tends to under-spend relative to its guidance on capital.
Don DeMarco: Okay. Thanks so much for that. That's all for me. Congratulations again.
David Rae: Thank you.
Operator: Thank you. And I show our last question comes from the line of [indiscernible] from Rush Port Investments. Please go ahead.
Unidentified Analyst: Good morning, David and Hume and another congratulations for a great quarter. With Ada Tepe on Cosmos and Don's question, very prolific -- very interesting area. The difficulty, of course, was the longtime getting it permitted. So the area's looking down here is that you're drilling now. How would you describe as the confidence level you have, if you find another deposits, good chance you will, that you can confirm it that in a lot more reasonable time than in Ada Tepe?
David Rae: So the permitting of Ada Tepe of course, was complicated by being what we had to do to get the social license in that area. And so a large number of years of that time between the inception to actually starting the construction and operation was down to that. In this particular case, we've got an excellent relationship with the area now, recognizing that there's different municipalities around it, Chelopech. So, having a good relationship in Chelopech does not necessarily directly translate to others. However, we've got a demonstration of what we can do. So, there's a expectation in terms of how long it will take to move things through the regulatory process. And then there's a stakeholder part which can help either accelerate or at least, prevent any drag on that process. So timing is tight, no doubt about it. However, we feel we're well-positioned. And on top of that, there have been some recent changes in the regulations or on some clarification, should I put it, in terms of how you can actually take assets forward that will primarily benefit Chelopech, but also does benefit in some instances Ada Tepe. So I would hope that would also translate into any new assets around the Ada Tepe and Chelopech sites.
Unidentified Analyst: Okay. And then just in terms of the resistance, for lack of a better word, that you had an initial perimeter, the -- I guess the fact you've been mining there for a while and done a good job, the resistance for anything new being developed you would expect to be less, is that fair?
David Rae: I mean, initially people are not sure what it is that they prefer to let you do, so somewhat being the and having a relationship with a community and then being able to see what it means when we come into the area that we're not just -- and don't care about the environment or don't care about the water, or don't care about the people, we're looking at this thing holistically and how do we create a net positive value? And it's a very easy now for us to take people in Bulgaria to individuals who speak their own language, who largely day-to-day have the very same style of living and they can sort of see for themselves the impact that it's had and the relationship that they have with the company. And they can do that without the company involved. And I think that's very far when you have leaders in individual communities and thought leaders able to talk without our influence, or they can truly get a sense of what happens if they work with us in order to realize these assets, but it does have a broader benefit.
Unidentified Analyst: Okay. Good to hear. Thanks, David and congratulations again.
David Rae: Thank you.
Operator: Thank you. This concludes our Q&A session. At this time, I'd like to turn the call back over to Mr. David Rae, CEO, for closing remarks.
David Rae: Again, I'd like to thank you all for participating in this call and we look forward to keeping you updated on our journey at DPM. And with that, have a great weekend. Thank you very much. Bye-bye.
Operator: Thank you, sir. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Good day.